Operator: Good day and welcome to The New York Times Company fourth quarter 2009 earnings conference call. Today's call is being recorded. A question-and-answer session will follow today's presentation. (Operator Instructions) For opening remarks and introduction I would like to turn the call over to the Assistant Director of Investor Relations, Ms. Paula Schwartz, please go ahead ma'am
Paula Schwartz: Thank you Tunica and welcome to our fourth quarter and full year 2009 earnings conference call. We have several members of our senior management team here to discuss the results with you. They include Janet Robinson, President and CEO, Jim Follo, Senior Vice President and Chief Financial Officer, Scott Heekin-Canedy, President and General Manager of The New York Times and Martin Nisenholtz, Senior Vice President, Digital Operations. All comparisons on this conference call will be for the fourth quarter of 2009 to the fourth quarter of 2008 unless otherwise stated. Out discussion will include forward-looking statements and our actual results may differ from those projected. Some of the factors that may cause them to differ are included in our 2008 10-K. Our presentation will also include non-GAAP financial measures and we have provided reconciliation to the most comparable GAAP measures in our earnings press release which is available on our corporate website at www.nytco.com. An archive of this call will be available on our website as well as transcript and a version that’s downloadable to an mp3 player. With that let me turn the call over to Janet Robinson.
Janet Robinson: Thank you, Paula, and good morning everyone. We were pleased to see advertisers increase their rate of spending across our newspapers, websites and other platforms as advertising trends improved during the fourth quarter. Our fourth quarter results also reflect the positive impact of the sustained actions we have been aggressively pursuing to reposition our businesses for the evolving future of the media industry. Principals among those actions are securing strong performance on cost, focusing relentlessly on increasing productivity and efficiency, diversifying our revenue streams including increasing revenues from our digital sources, introducing an array of new products and innovations and extending our reach to new audiences. Leveraging our brand strength to grow profitable circulation revenue where we believe and have been proven right the continued strong user demand for our high quality news and information will translate into increased value. And managing and rebalancing our asset portfolio to strengthen our core operations and enhance our digital presence. Looking at the details, our operating profit excluding depreciation, amortization, severance and special items grew 11% to $157.6 million in the fourth quarter from $142.1 million in the fourth quarter of 2008. On a GAAP basis, we reported operating profit from continuing operations of $136 million compared with $63 million in the fourth quarter of 2008. Diluted earnings per share from continuing operations excluding severance expense and special items were $0.44 per share compared with $0.36 in the same period of 2008. On a GAAP basis, we reported diluted EPS from continuing operations of $0.48 compared with $0.19 in the fourth quarter of 2008. Our results included several special items which Jim will review with you. We continue to aggressively manage our expenses as evidenced in a 16% decline in operating costs in the fourth quarter. As a result of these efforts we achieved approximately $475 million in savings in 2009 which amounts to 17% of our 2008 cost base. Turning to our balance sheet, which Jim will discuss in greater depth. We made significant progress in reducing our debt last year. Total debt declined by over $290 million to $769 million from approximately $1.1 billion at the end of 2008. These efforts contribute to the improved positioning and financial stability of our company as we look to the future. Another one of our strategic focuses is managing and rebalancing our asset portfolio. In the fourth quarter, we completed the sale of WQXR-FM, our New York City classical radio station for gross proceeds of $45 million. The proceeds from this transaction were used to further reduce our outstanding debt. We continue to explore this possible sale of our interest in the New England Sports Ventures. The process is complicated and it’s taking longer than we anticipated. Last month we announced that we will be introducing a paid model for NYTimes.com at the beginning of 2011. We have chosen metered model that will offer users free access to a set of number of articles per month and then charge users once they exceed that number. Our home delivery subscribers of course will continue to enjoy free access online. That’s part of the underlying value of the brand. Taking this metered approach, online non-subscribers will help NYTimes.com develop an additional revenue stream while preserving its robust advertising business. It will also provide the necessary flexibility to keep an appropriate ratio between free and paid content and enable us to stay connected to a search driven web. This strategy is an important part of our exploration of opportunities across multiple platforms, the web, mobile devices, e-readers to fully leverage our content in the digital space. With a metered model, we will remain focused on making NYTimes.com more compelling, interactive and entertaining providing more reasons for online audiences to visit our site and stay longer. We recognized that our success will be judged by how well we execute this effort and that is why we are waiting until 2011. We are determined to make subscribing as smooth and easy as possible. We will be working toward integrating our customer management systems so we can ensure a frictionless and engaging user interface for home delivery subscribers. It will take some time to build, test and deploy the best systems and it will take us time to get this right but we will. Now let me provide you with more detail on our revenues. Total revenues for the company declined 12%, a significant improvement from the third quarter decline of 17%. With ad revenues down 15%, circulation revenues up 2% ,and other revenues down 37%. Excluding the operations of city and suburban, the company’s retail and new stand distribution subsidiary, that was closed in January 2009, total revenues declined 9%, circulation revenues rose 3% and other revenues decreased 12%. At the News Media Group, which includes The New York Times, New England and Regional Media Groups, ad revenues decreased 17%, mainly due to lower print advertising across the group. By advertising category, national revenues were down 12%; retail was down 23% and classified was down 27%. Within the classified area, recruitment fell 35%, real estate declined 37% and automotive was down 21%. The News Media Group’s print advertising revenues decreased 20% in the quarter, while online advertising revenues rose 4% mainly due to growth in display advertising. While the advertising market remains challenging, the rate of decline across the major categories, national, retail and classified lessened during the fourth quarter. The group’s total advertising revenues which declined 30% year-over-year in the third quarter decreased 25% in October, 20% in November and 4% in December. At the Times Media Group, advertising revenues decreased 14% in the quarter as decreases in print advertising were partially offset by growth in online display advertising. The national print categories where we saw the largest declines were studio entertainment where the studios released fewer films than last year and provided limited support for new releases and the films released this fall did not match the performance of those in the fourth quarter of 2008. Travel, because of lower spending by hotels, tour operators and travel search engines and corporate due to reduced spending primarily by energy related companies. The national print ad categories where we saw the largest increases were national automotive lead by increased spending by American manufacturers, healthcare because pharmaceutical companies and hospitals increased their placement and package goods which saw gains from beverage and food companies. Although classified advertising at the Times Media Group decreased in all three major categories, real estate, recruitment and automotive, the rate of decline moderated as the quarter progressed. Retail advertising revenues decreased due to declines in fashion jewelry, home furnishing store and mass market advertising. At the New England Media Group, advertising revenues declined 20% in the quarter due to weakness in both print and digital advertising. National ad revenues were down mainly due to lower print advertising offset in part by growth in online advertising. Decreases in bank, telecommunication and the entertainment categories more than offset gains in the financial services, pharmaceuticals and national automotive categories. Retail advertising revenues were lower, lead by softness in sporting goods, jewelry and general merchandise store advertising. Classified advertising at the New England Media Group was soft in all three major areas, but the rate of decline in recruitment and real estate advertising moderated as the quarter progressed. At the regional media group, advertising revenues decreased 26% primarily due to weakness in print advertising particularly in the retail category. The rate of decline in classified recruitment advertising lessened in the quarter while real estate advertising declines remain flat.
newsstand prices: In the fall we added local content to The Times coverage in both print and online, on Friday and Sundays in the San Francisco and Chicago areas. These new pages as well as New City blogs compliment the national and global coverage that has made The Times a popular news provider. Our intent is to roll out our expanded reports in several other key markets across the country working with local journalists and new organizations in a collaborative way. Extending our reach is an important component of our multi-platform strategy, this goal has driven our investments in our on line businesses as well as our efforts to grow our audience in print, online, mobile, e-readers, social media and other products. In particular during the past 18 months we launched a number of mobile products and apps and advertisers are making good use of our large mobile audience. In December alone we had 75 million page views from our mobile sites and apps and we are pleased to report that in December we reached 3 million downloads of our iPhone app since its launch in July of 2008. We continue to embrace innovative new platforms and devices that provide rich experiences for our users. Moving to the third component of the News Media Group revenues, other revenues decreased 38% mainly as a result of the closure of C&S. In the fourth quarter of 2008, C&S and other revenues of approximately $20 million. Excluding C&S other revenues decreased 12% primarily because of lower revenues from commercial printing. At the same time that our cost and circulation initiatives are yielding positive results, The Times company remains a leader in capitalizing on the values of our core brands to build premium positions in the new digital and multi-platform media landscape. NYTimes.com continues to be an innovative in brand advertising and marketers come to us for our reach, the quality of our audience and our ability to create and execute unique campaigns. As a result we saw gains in the News Media Groups display advertising during the quarter from new large format display ad units. In the fourth quarter digital ad revenues that the News Media Group increased 4%. Healthy growth and display advertising was offset in part by classified advertising declines. After experiencing declines in the first nine months of the year, digital advertising revenues for the group improved significantly as the quarter progressed with the decrease of 6% in October and increases of 5% in November and 17% in December. At the above group total revenues rose 22% in the quarter to $36.3 million due to higher cost per click and display advertising. Growth in advertising revenues which were up 23% and strong expense control enabled the group to increase its operating profit to $18 million from $10 million. The above group’s operating margin expanded to 50% in the fourth quarter up from 33% in the fourth quarter of last year. Over the past 18 months about.com has taken a number of steps to improve its sales initiatives including expanding the professional expertise of its sales teams revamping its marketing strategy and developing new offerings for marketers. In the fourth quarter, total revenues from our internet businesses increased 10% to $102 million from $92.5 million in the fourth quarter of 2008. Internet businesses accounted for 15% of the company’s revenues in the fourth quarter versus 12% in the fourth quarter of 2008. As we continue to transition from a company that operated primarily in print to one that is increasingly digital and focused than multi-platform and delivery, online advertising revenues are becoming a more important part of our mix. They made up 23% of our ad revenues in the quarter, up from 18% in the same period in 2008. Looking ahead, visibility remains limited for advertising. In the first quarter of 2010 we expect the rate of decline for print advertising to continue to improve modestly from the fourth quarter of 2009. While digital advertising is expected to perform in line with the fourth quarter level we will remain focused on realigning our cost base as we continue to reposition our company for the evolving media market place. Now let me turn the call over to Jim, who will tell you more about our results.
Jim Follo: Thank you, Janet. Starting with special items, our fourth quarter results are favorably affected by a $0.22 for a pension curtailment gain resulting from the freezing of benefits under various company sponsored, qualified and non-qualified pension plans and unfavorably affected by $0.07 for charge for loss on leases and fee for the early termination of third party pruning contract and by $0.01 for charge for a write-down of assets due to the reduced scope of a systems project. The lease charge includes a loss on a lease for the office space at The New York Times Media Group as well as an adjustment to the estimated loss on leases recorded in the first quarter associated with the C&S closure. EPS in the fourth quarter of 2008 have been unfavorably affected by non-cash charge of $0.07 per share for the write-down of intangible assets at the International Herald Tribune. Severance costs were $0.10 per share on the quarter were $24.6 million compared to $0.10 per share or $24.1 million in the same quarter of 2008. We continued our strong expense discipline in the fourth quarter, building on our multi-year progress to restructure our cost base. Operating cost declined 16% for the quarter as reductions occurred in nearly all major expense categories including the impact of the closure of C&S and lower newsprint expense. For the year, we achieved approximately $475 million in savings while continuing to develop innovative products based upon our high quality journalism. Our cost restructuring efforts have focused on evaluating employee related costs, implementing strategic plans at The Globe, streamlining operations and increasing efficiencies and closing businesses. We continue to reduce our headcount across the company in the fourth quarter. Since wages and benefits are the single largest component of our operational costs, we examined our benefits and staffing levels to uncover greater efficiencies. We will continue to realize significant savings from our reduced number of full-time equivalent employees which declined by 18% in 2009. We also examined our benefit structure and reduced pension benefits for non-union employees and health benefits for retirees. In November 2009, we amended our pension plan for non-union employees to discontinue future accruals and freeze existing accrued benefits effective December 31 2009. Concurrently we froze the supplemental executive retirement plan that provide enhanced retirement benefits to select members of management. At the same time, we increased contributions under the supplemental retirement investment plan, our 401K plan and introduced two non-qualified supplemental defined contribution plans. We expect those changes to have a positive long-term impact on our cost structure. As a result of these benefit changes for our non-union employees, in the quarter we recorded a pension curtailment gain of approximately $57 million. This year we expect to see the full-year benefit of these and several other actions we took in 2009 including the consolidation of plans and restructured labor agreements at The Globe. We will carefully manage our cost reduction measures so that we do not compromise either the quality of our journalism for the smooth functioning of our business operations. Depreciation and amortization decreased 13% to $31.3 million from $35.9 million in the fourth quarter of 2008 primarily because of lower depreciable assets in 2009. For 2010, we expect depreciation and amortization to be between $125 million and $130 million. Newsprint expense decreased 48% in the fourth quarter of which 34% was attributable to lower pricing and 14% to lower consumption. Newsprint prices peeked in the fourth quarter of 2008 decreasing significantly during 2009 until reaching the bottom of the cycle in the third quarter of 2009. Newsprint prices have been rising since September, however current prices are significantly below the prior year. Suppliers have announced additional price increases for the first quarter of 2010. Market conditions are currently fragmented with inconsistency among suppliers in implementing announced increases. We believe additional price increases will be difficult for suppliers to achieve unless there is a significant permanent reduction in capacity to bring newsprint supply in balance with demand. Interest costs in the quarter were $20.9 million from $12.3 million as a result of higher rates on our debt, offset in part by lower average debt outstanding. In 2010, we expect interest expense to be between $85 million and 90$ million. During the quarter, we reduce debt with the proceeds in the sale of WQXR-FM and paid down $44.5 million in medium-term notes that matured in November. Last year we made significant progress in lowering total debt levels to cash flow from operations, divestiture activities and other actions. Our total debt was $769 million at the end of December, down from $1.1 billion at the end of 2008. At the end of the fourth quarter, there were no outstanding borrowings excluding letters of credit under our revolving credit facility compared with a $105 million at the end of the third quarter. Because we restructured our debt last year we lengthened our debt profile and now the majority of it matures in 2015 or later. Our effective income tax rate was 38.2% in the fourth quarter and 58.4% for 2009. A higher tax rate for the year was driven by the impact of certain items including the reduction of deferred tax asset balances resulting from lower income tax rates on near breakeven results. In 2008, our effective rate was 47.5% for the fourth quarter and 8.3% for the full year. We have taken decisive steps to reduce capital spending and improve liquidity. Capital expenditures totaled $8 million in the quarter and $45 million for the year, down from $127 million in 2008. This year we project capital spending will be between $40 million and 50 million since we currently do not expect any significant capital projects for the foreseeable future. Turning to our pension, our pension assets benefited from strong performance in 2009. For accounting purposes, on a GAAP basis based upon preliminary results the under funded status of the company’s qualified pension plans improved approximately a $120 million from year end 2008. For funding purposes on a NRSA basis the company previously disclose a January 1, 2009 under-funded status for its qualified plans of approximately $300 million. This funding gap reflected a use of temporary relief allowed by the US Treasury Department. As of January first 2009 without the valuation relief the company’s under-funded status would have been approximately $535 million, based upon preliminary results the company estimates a January 1 2010 under-funded status of $420 million. The company does not have mandatory contributions to its sponsored qualified plans in 2010 due to existing funding credits. However the company may choose to make discretionary contributions in 2010 to address a portion of this funding gap. At this time, the company expects to make contributions in the range of $60 million to $80 million to its sponsored qualified plans. But it may adjust this range based upon cash flows, pension asset performance, interest rates and other factors. The company also expects to make contractual contributions of approximately $22 million to $28 million in connection with The New York Times Newspaper Guild pension plan. In closing we believe we have taken the right steps to streamline costs, strengthen our balance sheet, realign our portfolio properties and continue to grow our digital businesses and are emerging as a stronger organization from this turbulent economic cycle. We recognize that the quality of our journalism is at the heart of our company’s success, but also acknowledge that quality journalism can only survive this part of a profitable business organization and with that we’ll happy to open up for questions.
Operator: Thank you, the question-and-answer session will be conducted electronically. (Operator Instructions). We’ll take our first question from John Janedis with Wells Fargo.
John Janedis - Wells Fargo: Recognizing your national advertising exposure and that it could be choppy, how much difference is your visibility versus this time last year and for the advertisers that have made longer-term commitments, what does the budget look like?
Scott Heekin-Canedy: The general sense from our advertisers is certainly much more positive then a year ago this time. we have said in our statement that the visibility is still very limited, but we do know of advertiser intentions to improve their spending this year considerably, but they are very guarded in the way that they talk about it and trend that we saw last year of last minute commitments or last minute pullback still seems to be operative this year. But I can give you a list of categories in what our sense is based on the conversations we have had with our advertisers. The financial services telecom, travel, international fashion, department stores, mass market, fine arts, based on the discussions we would expect to see those stabilize and there is a set of categories where there is potentially growth, tech, media, health care, American fashion, cosmetics, fashion jewelry, automotive. In January, we have seen growth from media, tech, automotive, healthcare, packaged goods, the mix of performance within our portfolio of categories is definitely different than it was throughout most of last year when it just seemed like every single category was down and we are seeing maybe a third of the categories showing flat to very significant growth in some cases. The classified categories recruitment in real estate we expect continue to be in a steep decline this year although not nearly what it was last year, we think that it will moderate considerably relative to the steep declines we saw in 2009.
Janet Robinson: I would just add that from a Boston Globe perspective, in the fourth quarter we did see on the national scale growth and an uptick in national auto manufacturers, financial services and pharmaceuticals and in the first quarter we are seeing improvement in national auto, pharmaceuticals and in financial services. It's also important to note that many contracts and many sales are being made across platform, both print and online that is increasing needless to say as we go to market in a more integrated fashion.
John Janedis - Wells Fargo: Janet, you’re acknowledging the comments on the Red Sox, are you still optimistic that you can actually reach a deal?
Janet Robinson: Yes, we are. It is more complicated, as you can well imagine there’s a lot of due diligence with perspective buyers that needs to be done. It is in a way multi-faceted buy because it’s not just the Red Sox Ball Club, it’s also Fenway Park and real estate holdings and NESN and certainly major league baseball plays a part in this as well. So it is quite complex, but we are certainly moving ahead in regard to selling this part of our portfolio.
John Janedis - Wells Fargo: Can you help us think about the incremental costs associated with the setting up of the metered model for the online content and directionally should we expect the margins there to be materially different from print?
Janet Robinson: I will just start and I am going to have Martin jump in here, from a standpoint of the decision to go to the metered model, I think we feel as though this is a an elegant solution in regard to providing our user base with free content and a proper mix of free and paid, but we did want to wait the year and make sure that indeed as I noted in all my remarks that indeed we were well prepared to make sure that this user experience was frictionless. And when indeed we are dealing with home delivery systems as well as digital systems with the digital use, we felt it was very important for us to get this right and that’s exactly what we will do. It is taking time certainly to prepare, but the talent in the house is well prepared to do so.
Martin Nisenholtz: With respect to the costs, there is a modest operating cost to deploy the technology and we are hiring a handful of people to do that as well as a modest capital expenses well but I wouldn’t say that these are materially different to our cost base.
Jim Follo: On the capital side that what ever we spend on that as well within the $40 million to $50 million we talked about.
Operator: We’ll take our next question from Alexia Quadrani with JPMorgan.
Alexia Quadrani - JPMorgan: At The New York Times in the fourth quarter, was the national advertising category actually positive in December or is it trending positive in January or is it just a lot less bad?
Martin Nisenholtz: The declines were significantly more modest than previous quarters, clear cut sequential improvement and a handful of categories that actually showed quite robust growth, automotive display, healthcare packaged goods, for example in telecom was in growth column as well.
Alexia Quadrani - JPMorgan: Just sort of newspaper advertising in general, Q4 versus sort of what you are seeing so far in Q1, I think you've said that it is obviously trending better so far in Q1, or the improvement has continued, but would you say it is sort of straight line from the improvement in December or more just generally from the fourth quarter?
Martin Nisenholtz: From the fourth quarter definitely, December, the way we look at the holiday spend ordinarily is to average together in November and December because the way advertisers spend around the Thanksgiving and Christmas holidays moves with the calendar and it is always captured in the calendar month, but in a fiscal month.
Alexia Quadrani - JPMorgan: Then you guys have obviously done such an impressive job on the cost side in 2009. You gave a little bit of color on sort of how you hope to continue that into 2010. But is there a sort of a range that can you give us in terms of a dollar range of savings you hope to attain, incremental savings I should say in 2010?
Jim Follo: We haven’t done that Alexia, we are still early in the year. I think plans tend to be pretty fluid at this time of year as we kind of size up the advertising market as we got forward and we want to leave in the flexibility in our model to do that on the cost side. We’ve regularly mentioned some of the initiatives and I think we put the numbers out there which at least directionally should help you understand at least the base magnitude of what we are talking about here. The pension breeze will be about $20 million, some of the net full year initiatives up in Boston will be another $20 million, we did have some salary reductions late last year at The New York Times Media Group will help that as well. We have some things going the other way as well and newsprint prices have bottomed out and we think those are on the rise although we don’t think we hit any sort of inflection point until probably midway through the year. So as of right now, we don’t see that as highly positive or negative, but that’s a pretty volatile market as well. So there’s a lot of moving pieces here, so as of right now we are somewhat reluctant to put a number out there but I would point back to last year and the aggressiveness of last year in our ability to really keep moving that number off and to add new initiatives as we go throughout the year given the trends in the business and we will continue to do that and as we firm up our plans and we get a better sense as to where the ad market is going, I think we might be better prepared to give more detail.
Janet Robinson: Much of the cost savings in Boston really took place in the second half of the year, we would be cycling of course in the first half against that as well. So it’s important to note that because of the extensive cost reduction there.
Alexia Quadrani - JPMorgan: You guys talked about some additional salary cuts in the fourth quarter, but you also mentioned some additional hires on the digital side. Would you assume that headcount would be down again in 2010?
Martin Nisenholtz: I think we would expect that to be the case yes.
Alexia Quadrani - JPMorgan: You gave some early comments about how classified would continue to be weak likely in 2010, though moderating the declines, and I think that you had some more positive comments on national, but did you say anything on local in terms of how you think that that will trend in terms of advertising revenues this year?
Scott Heekin-Canedy: In my rundown of outlook for categories I mentioned that department stores and mass market we see in stabilizing category, so I think that probably indicates what does the local retail would be looking like.
Janet Robinson: I think as far as the regionals and the globe, they are continuing to see softness in regard to retail for those two media groups at this point. That’s not to say that they aren’t specifics within the categories that aren’t showing some signs of improvement, but generally from a holistic perspective, they are still soft.
Operator: Next the Craig Huber with Access 342.
Craig Huber - Access 342: Your tax rate has been quite high and quite volatile here if you adjust for all of these various so-called one-time items in the last couple of years, you had roughly a 68% tax rate in 2009, adjusted as one time items, and a 49% tax rate in 2008. What do you think it will be your tax rate, for 2010, a more normalized 40% if you adjust for any upcoming potential one-time items?
Jim Follo: We generally look in somewhere in that range, we’ve talked kind of in the 40% to 42% is kind of a long-term tax rate. This year is hard to make sense of the tax rate given the near breakeven results and permanent tax differences have a big material effect and some of that is driven by stock market performance. That is we're just not in control over. But we do think of the business kind of a long term in that sort of a tax rate I guess.
Craig Huber - Access 342: Was there a reason why in the fourth quarter you didn’t basically reverse what happened in the first quarter on the tax line, if you adjust for these one-time items, it kind of looked like you booked about $27 million of tax in the first quarter of ‘09 versus the pretax income again adjusted loss about $34 million. There's a reason why you didn’t have to adjust that in the fourth quarter to kind of true it up, if you will?
Jim Follo: I think a lot of that first quarter reversed in the second quarter but again because our full year tax rate is so, the full year taxable income is so small that it’s really, at the end of the year I think you have to kind of look at the tax number as being somewhat of a non-factor. There's a lot of things that drove through that, FIN-48 adjustments and reserves flow through that. Changes in tax rates flow through that. So it tends to be a very difficult dynamic calculation quarter to quarter. You do get odd results but I think long term our taxes are largely on a break even business and I think that makes sense.
Craig Huber - Access 342: Okay then Janet if you could just speak a little more about your January advertising trends of the newspapers. How much was local versus national? What was the percent change there year-over-year?
Janet Robinson: As far as January is concerned?
Craig Huber - Access 342: Yes, January, yes.
Janet Robinson: We don’t give specifics and we don’t note on a monthly basis in regard to any of the trending.
Craig Huber - Access 342: What I’m trying to get out Janet, was it materially better than what you reported for the entire fourth quarter like the retail and local advertising down?
Janet Robinson: We are seeing improvement, as we noted in the press release. We are seeing modest improvement in the declines and that’s continuing in some of the categories that Scott has noted and I have noted as well and we're seeing very good performance in regard to the digital side of our business. As noted, December was an extremely good month. I noted the specific months in October and November for all of the groups but I think from a standpoint of where we see January, as we noted we are seeing improvement in the declines. We're seeing specific categories but we're not going to report on a month by month basis.
Scott Heekin-Canedy: I would just add this that we have always understood January to be really a different chapter, a new page in advertiser's marketing plans and January is not a good indicator historically for the years going. So we're definitely seeing the change in attitude and a sense of sequential improvement. But that’s combined with the fact that many advertisers are launching into new annual plans and I think that we'll see this play out in the quarter consistent with the comments we have made.
Craig Huber - Access 342: Why was your corporate expense line up roughly $10 million year-over-year just for one time items?
Jim Follo: Well a couple of things. Being for one up in our stock price in the fourth quarter has some variable accounting issues related to stock based comp. There were some variable compensation programs that also were affected positively this year where last year that was going the other way with it as fourth quarter they deteriorated. A lot of that stuff actually went negative. So they tend to be on a quarterly basis very lumpy. We've also year-over-year changed a little bit of the way that we allocate certain of our costs particularly in the pension area which over weighted this year. Pension cost to corporate away from the way did it last year. So it does tend to be lumpy. I think we kind of think of 45 million to 50 million annual numbers more in line with what makes sense.
Craig Huber - Access 342: And then lastly if I could what was the percent change in your daily and Sunday circulation in the fourth quarter for your flagship paper? The percent change please.
Scott Heekin-Canedy: I don’t think we report out our circulation volume quarterly.
Operator: We'll go next to Edward Atorino with Benchmark.
Edward Atorino - Benchmark: A couple of things. The SG&A line looked a lot higher than I thought. Was there anything, is any of the severance in there that would have bumped up that number?
Jim Follo: That definitely spreads throughout all the various categories. There were some variable accounting issues that affected the quarter and there were some variable base compensation programs that were impacted as the quarter strengthened and there were some catch up from prior quarters and that’s really likely what drove that number a little higher than you may have expected.
Edward Atorino - Benchmark: Secondly, production as a percent of revenues, if I'm calculating this right, really dropped off. It's only 35% of revenues, which was a lot lower than in the first three quarters. Is that just a seasonal effect that revenues dropped so much, or is there sort of catch-up on cost declines and all of that stuff?
Jim Follo: Look again we're fairly fixed cost business and as revenues do better I said the performance in advertising which is all on the sole margin business was better than it was in prior quarters. I think might skew those ratios a little bit.
Edward Atorino - Benchmark: Lastly by the Janet about performance I think vindicates the purchase of About. Where is all the growth coming from? Is it any particular categories or just like a lot of search stuff right?
Janet Robinson: It’s poster at CPC and its also a very strong performance in display. As I noted in my remarks we have upgraded the sales talent at about to really go after a lot of display business that indeed has responded very favorably. But CPC has always been strong which was the main reason of course for buying About. But also it has shown continuous improvement during the second half of last year, I'm going to let Martin add some color.
Martin Nisenholtz: To answer your question about the categories, the categories that have been strong include CPG, consumer packaged goods, travel, education and financial services as well of course as CPC. We also saw some retail strength in the fourth quarter.
Edward Atorino - Benchmark: Are CPGs sort of new to About?
Martin Nisenholtz: Yes, it’s not new. Remember About is a huge website. It reaches tens and tens of million people across the country and it has the scale to appeal to the consumer packaged goods category. So as Janet noted we significantly upgraded the sales capability there. We've been talking about that in most of the conference calls and as we've upgraded that capability, execution has just gotten much, much better and so the consumer packaged goods category has really kicked in for us because in the sense it’s a natural. We reach a lot of moms and the website tends to skew a bit female as part of its demographic profile.
Operator: And we will take a follow up from Craig Huber with Access 342.
Craig Huber - Access 342: I did want to ask, this potential voluntary payment of $60 million to $80 million that you put back into your pension here, what is the timing on that? Would you wait potentially to the third quarter or the fourth quarter to put that back into pension?
Jim Follo: We haven’t been quite that definitive but I think it could be sooner than that. We are well positioned from a data liquidity stand point to really do it at anytime given our view in liquidity situation.
Craig Huber - Access 342: And are you thinking if you did it you would just do it all in one shot or….
Jim Follo: We look at a targeted percentage to be funded and that’s what ultimately drives the number but I think that’s a little bit more detailed and we've really fought through.
Craig Huber - Access 342: If you did make $60 million to $80 million to put into pension this year, where do you think you'd potentially be assuming nothing changes the under-funded status? What do you think you'd have to put into it for 2011, including the union portion as well?
Jim Follo: You're asking to judgments about where the equity markets and where interest rates are going and that’s just a very….
Craig Huber - Access 342: No, no. I'm just assuming if things stay flat, that doesn't change at all, just what would your line appear to be for contributions for 2011?
Jim Follo: Just in around numbers, if you take the unfunded numbers, subtract out what we fund, generally you have six years, five years to get fully funded. So that’s kind of the way to think about it I would think.
Operator: And we will take another follow-up from Edward Atorino with Benchmark
Edward Atorino - Benchmark: Yes, the joint venture sort of fell off a cliff compared to the first three quarters. Anything unusual in there?
Jim Follo: Well any, actually is a very seasonal business obviously, once baseball season and that tends to be, not really a contributor and then on the paper mill side obviously the benefit we get on rate for news print hurts the news print mill which were 49% on or out.
Operator: And there are no further questions at this time. I will turn the conference over to Schwartz for any additional closing remarks.
Paula Schwartz: Thank you for joining us today. Please give us a call if you have any additional questions.
Operator: And that does conclude today’s call. We thank you all for your participation.